Operator: Good afternoon. I'll now turn the meeting over to Mr. Jamie Porter, Chief Financial Officer. Please go ahead.
Jamie Porter: Thank you operator and thanks everyone for attending Alamos' First Quarter 2015 conference call. In addition to myself, we have on the line today John McCluskey, President and Chief Executive Officer; Manley Guarducci, Vice President and Chief Operating Office; Charles Tarnocai, Vice-President of Corporate Development; and Andrew Cormier, Vice-President of Development and Construction. I'd like to remind everyone that our presentation will be followed by a Q&A session. On this call we will be making forward-looking statements. Please refer to the disclaimer on forward-looking statements in our news release and MD&A as well as the risk factors that outline on annul information form. Our forward-looking statements on this call are qualified by these cautionary statements. There can be no assurance that our forward-looking statements even though considered reasonable by management based on information on hand will prove to be accurate. Future results and events could differ materially. Also, please bear in mind that all the dollar amounts mentioned in this conference call are in U.S. dollars unless otherwise stated. Now John will provide you with an overview.
John McCluskey: Thank you, Jamie and good afternoon, everyone. This past month has been a very eventful and positive one for Alamos. We announced the merger with AuRico Gold on April 13th and last week had EIA for our Agi Dagi project returned to good standing. Not to be lost in this, our open pit, heap leach operations at Mulatos continued to perform well in the first quarter and we remain on track to realize significant production growth from our high grade mill in the second half of 2015. First quarter production of 38,000 ounces of gold was consistent with our expectations and total cash cost of 805 per ounce well below our full year guidance of $865. We continue to benefit from positive grade reconciliation and a much lower than budgeted strip ratio. We are optimizing the high grade milling circuits and remain on track to have the additional grinding capacity in place required to achieve our targeted 75% recoveries. Once the additional grinding capacity is in place we expect to ramp up the mill throughput and see a corresponding increase in the high grade mill production in the second half of 2015. We saw some promising initial exploration results out of La Yaqui the first of our two higher grade satellite deposits and commenced exploration activities at Cerro Pelon. Both projects have excellent exploration potential, neither of them drilled since 2009. However since then mapping and sampling has indicated the potential for additional resources. La Yaqui remains on track for our late 2016 start up setting the course for low cost production growth at Mulatos 2017. We remained focused on advancing our strong low cost development pipelines and reported very positive development in Turkey last week having the injunction dismissed and EIA approval for our Agi Dagi project return to good standing. Combined with the passing of the new mining law in Turkey earlier this year, we're very encouraged by the recent developments, including a 50% reduction in the previously proposed forestry fees, we are working with the ministry of the environment towards a positive legal resolution to the challenge against the previously approved drug with EIA. We continue to expect a ruling from the high court on this issue this quarter. This month we are paying our 11th consecutive semiannual dividend which will bring the total cash we've returned to shareholders over the past five years to a 106 million. The rate of $0.03 per share represents a decrease from previous levels a reflection of both to start decline in the gold price and our transition into a growth phase as we expect to ramp up spending over the next few years advancing our development pipeline. In conjunction with our dividend announcement we implemented a dividend reinvestment plan this will give shareholders the option of increasing their investment in Alamos by electing to receive common shares in place of a cash dividend at a discount to the prevailing market price. We are proud of what Alamos has accomplished over the past decade and what this company has become. However the merger announced with AuRico Gold provides the opportunity to create a much stronger diversified gold producer with assets located in some of the best political jurisdictions in the world and a solid balance sheet to fund one of the strongest growth profiles of our peer group by combining the strengths of both companies we are far better positioned not only to exceed but also to be a leader in the current gold price environment. This merger will walk us through a small group of intermediate producers very few of which we believe can match the combined attributes we offer. With the transaction expected to close in 2015 we look forward to demonstrating this staring in the second half of this year. And with that I will turn the call over to Jamie Porter to comment on our first quarter 2015 financial performance. Jamie.
Jamie Porter: We produced 38,000 ounces of gold in the first quarter and sold 36,600 ounces at an average realized price of $1,224 per ounces revenues of 44.7 million. Cash operating cost of 728 per ounce and total cash cost of 805 per ounce were both well below full year guidance. All-in sustaining costs of $1,115 per ounce were largely in line with full year guidance even with elevated sustaining capital spending of 5.7 million in the quarter. This included 2.9 million or approximately $80 per ounce of planned spending on the relocation of the agglomerators. Sustaining capital spending for the remainder of the year is expected to be lower, consistent with the annual budget of 12.5 million. We continued to realize healthy margins and cash flow during the quarter with operating cash flow before working capital change to 7.4 million or $0.06 per share. Earnings in the first quarter were 2.2 million or $0.02 per share this included a 4.9 million after tax gains on the sale of the El Realito concession. Partially offset by 1.8 million unrealized foreign exchange loss and 0.8 million of transaction costs related to the merger with AuRico Gold. Relative to a year our gold sales in the first quarter of 2015 were offset by higher operating costs. Amortization expense is $245 per ounce was down sharply from the 2014 average of $319 per ounce reflecting lower amortization associated with high grade production from San Carlos relative to Escondida over the past year. Amortization per ounce is expected to remain at the current level with mining now fully transitioned to the San Carlos underground deposit. With more than 350 million in cash and marketable securities our balance sheet remains one of the strongest in the industry and one of our greatest assets. Subsequent to the quarter we completed the private placement into AuRico acquiring 27.9 million shares at 299 per share for 83.3 million. This represents a 9.9% interest in AuRico after giving effect the private placement. Given both Alamos and AuRico share price depreciation since the announcement of the deal these shares are currently worth nearly 100 million. Looking at the pro forma balance sheet of Alamos and AuRico we'll have 427 million in total cash and approximately 94 million in net cash representing one of the strongest balance sheets of the peer group. With capital spending and operating cost expected to decrease in the next few years at both Young-Davidson and Mulatos while production ramps up. We expect significant free cash flow growth from both operations in the coming years. With growing low cost production and a strong cash position the new Alamos will be fully funded on its near-term growth opportunities. At this point, I'll turn the call back to John.
John McCluskey: Thank you, Jamie. I'll now ask Manley Guarducci Alamo's Chief Operating Officer to discuss quarterly operating results.
Manley Guarducci: Thank you, John. Good afternoon, we had another strong performance from the open-pit, heap-leach operation at Mulatos with stack grades of 0.92 grams per tonne being 15% above our annual budget. Total crusher throughput averaged 17,500 tonnes per day in the first quarter, this was slightly below the annual budget of 17,850 tonnes per day reflecting lower mill throughput and a planned three-day shutdown of the crushing circuit to relocate the agglomerators. Production of 38,000 ounces was consistent with our expectations; the recovery ratio of 72% was slightly below the full year budget reflecting the lower recoveries from the high grade mill. Mill throughput average approximately 230 tonnes per day in the quarter reflecting some down time to accommodate modifications to the circuit including the installation of finance stream and the second ILR and lower planned throughput rates until the additional grinding capacity is in place. We are currently mining in a higher grade portion of San Carlos and we are pleased with the reconciliation of grades mills in the quarter of 10.37 grams per tonne above our annual budget of 9.5 grams per tonne. The current mill configuration is achieving recoveries of approximately 60% and we will continue to operate the mill below capacity until Liberty mill has been installed. This remains on track at the end of the June after which we expect recoveries to improve to targeted levels of 75%. The completed mill loss design capacity of approximately 800 tonnes per day as such we expect supplement underground throughput of existing high grade stockpile and run the mill above the annual budget of 550 tonnes per day in the second half of 2015. Combined with improved recoveries we expect the significant increase in high grade mill production in the second half of 2015. As of the end of April we had approximately 42,000 tonnes of high grade ore stockpiles. Approximately 360 meters of underground development at San Carlos was completed in the quarter bringing total development to date of 1,900 meters the company is currently mining from two stores and has focused development to the ease of current mining activities. La Yaqui the first of our two higher grade satellite deposit at Mulatos is on track for initial production in the fourth quarter of 2016. We completed nearly 4000 meters of infill drilling in the first quarter which yielded some promising results including 58.8 meters grading at 3.6 grams per tonne and 35.1 meters grading at 2.92 grams per tonne. Our exploration program at Cerro Pelon is currently ramping up after closing the agreement to acquire the surface rights earlier this year. Along with San Carlos, La Yaqui and Cerro Pelon are the highest priority targets at Mulato and will be the focus of our 2015 exploration program. Last week we received very positive news out of Turkey with the lower process missing in junction against the EIA for our Agi Dagi project. This has returned the EIA to good standing and while we appreciate the tendency of the markets to look pass Agi Dagi with Kirazli to be developed first, this is a significant positive development which should not be overlooked. We expect improving from the Turkish High Court this quarter with respect to the Kirazli EIA. As previously noted we submitted a cumulative impact assessment for Kirazli in October of 2014. This has been approved by the Ministry, who in turn, supply this to the High Court to support this appeal. Initial production from Kirazli is expected 18 months from the receipt of the forestry and operating permits. At Esperanza baseline work continues on the planned resubmission of the EIA later this year and an internal feasibility study to support the development of the project. At Quartz Mountain we expect to include our initial exploration program this quarter which is designed to test the geological model and validate the existing resource. Results to date have demonstrated a strong correlation to the geological model. With that I’ll turn the call back John.
John McCluskey: Thank you, Manley. This concludes our formal presentation. I’ll now turn the call back to the operator, who will open it for your questions. Operator?
Operator: Thank you. We will now take questions from the telephone lines. [Operator Instructions]. First question is from Dan Rollins from RBC Capital Markets. Please go ahead.
Dan Rollins: Just a couple of questions with respect to the performance of the open pits specifically with the grades and more broadly the strip ratio. I was just wondering you mentioned the grades of the quarter were 15% above budget but we got the same budget assumed for Q1 and if so what was the actual reconciliation to the [month] during the quarter?
Manley Guarducci: Dan, this is Manley. The budget for Q1 the grade was slightly lower than the rest of the year where you can pretty much consider it flat -- that’s what plays-off. And with respect to the reconciliation, the reconciliations continue to be positive and the result of that is the lower strip ratio that you see compared to budget or compared to our guidance.
Dan Rollins: So you’re still getting good reconciliation on both grade and tonnes?
Manley Guarducci: Yes.
Dan Rollins: And have you seen that consistently again as we’ve gone through in Q2 similar to current?
Manley Guarducci: It's been something that’s been consistent and fortunate for us for the whole life of the mine and additive it’s the same, story.
Dan Rollins: And just with the drilling obviously you’re going to be getting on to the step of drilling at Pelon shortly. What’s the plan to step up drilling at La Yaqui this year?
Manley Guarducci: There are some -- there are plans to step up drilling in some areas that weren’t considered in the original resource, specifically where the lease pad areas that we’ve identified. There is some new encounters to the east of the previous resources.
Dan Rollins: And then I guess little bit longer daily question. Do you have quite a bit of inventory in store I guess, stock piles that would be lower recovery material that maybe solve by bearings that you’ve been counted or than last five or six years and you've got on surface. Have you done any test work to see if that would be a minimal to be put through the mill after all the high grade is depleted or would you need further modifications for that?
John McCluskey: Dan, we’ve done a lot of test work with respect to that and we continue to evaluate options. Obviously gold price is going to have the biggest effect on what we actually do with that material. Right now the most economical rate and the best cash back is putting it on the heap.
Dan Rollins: And then I would sort of put it towards the end of mine and you only interrupt any of the current niche connect, correct?
John McCluskey: That's correct. Yes.
Operator: Thank you. The following question is from Jeff Killeen from CIBC. Please go ahead.
Jeff Killeen: I was just wondering on the underground high grades stock pile sitting on surface, just wondering if you can give us an insight on what you think the model was just the average grade for that material would be?
John McCluskey: I can tell you that the average grade is slightly higher than our budget grade. But I can’t give you exact rate because we use the back calculated had to come up with accurate grade and we have to put it through the mill before we do that. We can tell you that we’re having reconciliations so far that we're seeing with the underground development or what we put through so far.
Jeff Killeen: And then with respect to the mills throughput for Q2 it sounds like mostly improvement comes in the second half, but do you think you'll see any stepped improvements in the throughput relative to Q1 or do you expect to be relatively flat?
John McCluskey: I think it will be totally flat for Q2 and we’re going to focus on recovery thereafter. We want to make sure we get the recovery that we're expecting and then we'll ramp it up.
Jeff Killeen: Just wondering what was the grade suggested by the actual block model from this material that you’ve taken out over in the first quarter from the underground specifically.
John McCluskey: The actual grade is, I can’t tell you exact rate but it will be close what we forecasted for guidance.
Jeff Killeen: Last question then just wondering can you give us them insight on what the underground mining costs look like?
Jamie Porter: It's Jamie. The underground mining cost for the quarter we're right now budget around $50 a tonne.
Operator: Thank you. The following question is form Kerry Smith from Haywood Securities. Please go ahead.
Kerry Smith: John so on clear the drilling that you are doing at Cerro Pelon, La Yaqui it's mostly infill. Am I correct? Or is there actually some step out drilling being done?
John McCluskey: There is going to be some step out drilling done as well. There was a certain amount of infill drilling that were just required to be done and getting ready for -- seeing it up for a mining operation but we're quite interested based on the work that we've conducted over the last 18 months or so we are quite interested in following up on quite a substantial amount of positive results we received from surface work.
Kerry Smith: And when would that drill program be finished then roughly?
John McCluskey: That I couldn’t tell you right often and maybe somebody here knows, would have -- do you any idea when it's going to finish?
Unidentified Company Representative : We're starting it within the next -- well its just started and we entered the first phase done within the next couple of months and it would be a phase reports there after depending on results.
Kerry Smith: I guess the reason I was asking, I just wondered if there would be an update resource that we might expect for those two deposits this year let's say.
John McCluskey: No. We don’t intend to do that and anything that we pull together over the course of this year's drill program will be reflected in our annual update on reserves and resources.
Kerry Smith: And you talked in the commentary about a feasible -- an internal feasibility study on this project. Will you release that externally or were you just going to do for yourself and then just probably had based on the permit.
Manley Guarducci: The original plan Kerry, it's Manley, the original plan is to do an internal one and then probably release the summary external when we have everything in place.
Kerry Smith: And when roughly might we expect that and then would be towards the end of the year I guess?
Manley Guarducci: Yes, that will all depend on when we get the exploration permit up and running so it's a little bit too far out to say right now with certainty.
Kerry Smith: And then in the text you said you actually had, you are down the 3 days to relocate the agglomerators, then it said you will replace them as well. I just wasn’t sure what it happen there did you switch over to a different style of drum agglomerators or what actually happen there Manley?
Manley Guarducci: Yes, Kerry we did a trade-off, it was cheaper to buy new agglomerators and install them, than shutdown for a longer period, so that's actually what happened, so was both.
Operator: Thank you. [Operator Instructions] The following question is from Anita Soni from Credit Suisse. Please go ahead.
Anita Soni: My first question partly has been asked but I'm just wondering a little bit more about your mining cost per tonne, the 375 does that include the underground cost, is that blended or is that separate?
John McCluskey: Yes. That's blended and it's got the $60 per tonne of underground cost in there.
Anita Soni: And then just as another question with regards to the waste ore ratio. So part of that grade reconciliation and I guess the correlating lower strip ratio, is that that material that is now sort of able to be heap leach, what's going on there?
John McCluskey: Yes. It's a little bit of everything we have some rates that converted to ore and [SAS], Anita and that would affect the strip ratio and will also have some [SAS] get converted to ore. So it's a blend of everything.
Operator: Thank you. The next question is from Michael Gray from Macquarie Research. Please go ahead.
Michael Gray: Back to La Yaqui infill drilling, the highlights you have provided in earnings release are significantly above the reserve grade. Can you comment on what do you expect material increase on the overall average grade once you do publish the new resource?
Manley Guarducci: Michael it's Manley. I don't think we are going to publish the new resource separately from what our annual resource statements are. But I'll tell you that holes are consistent with what we have modeled in that area.
Michael Gray: And how about on San Carlos you had talk about some of the extending this [Escondida] existing mineralization. Can you comment on how significant that expansion was how big the step outs were?
John McCluskey: Like now with respect to the holes I'm not certain on the distance but I can tell you we're driving the ramp into the central zone of this deeper 50 meters away from that and that's when we'll do some more definition drilling.
Michael Gray: And finally Quartz Mountain see that the results are correlating strongly as a geological model. Can you guys expand on that little bit and also remind us the scope of drilling for the rest of the year on Quartz Mountain?
John McCluskey: The Quartz Mountain drilling program is ramping -- has been ramped now. So we’re just giving information and it was just to confirm the geologic model and test the grades in certain areas.
Michael Gray: So, demonstrate a strong correlation at geological model met expectations?
John McCluskey: Yes it did.
Operator: Thank you. The next question is from Don MacLean from Paradigm Capital. Please go ahead.
Don MacLean: Just sort of a quick 10,000 foot view -- is it fair to assume that if your production is been going up in the second half that the cost per ounce will decline. Or do you have some twists in the mill grid recoveries; stockpile accounting that would put a bit of a curve in that road?
John McCluskey: I think you're going see the cost remain the same unless there is unforeseen things like the strip ratios and everything that we've encountered in the first quarter. You got to remember this, there is going be a slightly higher processing cost with mill expansion and also the underground mining cost is a function of our cost per ounce.
Jamie Porter: The only thing I would add to that Don is that higher percentage or proportion of our production will be coming from the high grade San Carlos and those ounces are a lot cheaper than the ounces that we get leach pads. So once we effectively double our high grade production you would expect an overall drop in our cost but we're not updating our budget at this point because we’re not willing to forecast the lower strip ratio for the rest of the year.
Don MacLean: And then just lastly you mentioned Turkey lower red the forestry fees by 50%. What are those fees? How significant are they?
John McCluskey: They're two sets of fees, one you call a stumpage and the other one is a lease for the forestry line. How significant are they, I don’t know what the number at the top of head, but there is definitely a significant benefit in having a lower 50%. I'm not willing to throw a number out but we can give you the exact number there. They are mentioned in our 2012 pre-fees study at the moment.
Jamie Porter: Yes there is forestry fees that are in 2012 pre-fees, Don. I think the update forestry fees work outs to about 25 bucks an ounce. So what's happened the forestry fees from when we initially published our 2012 pre-feasibility study they tripled and they've now been cut in half. So it's a net increase from our 2012 pre-fees but it's not -- doesn't have an overall material impact on the economics of Kirazli or certainly more than offset by the depreciation in the lira.
Don MacLean: So just to be clear Jamie that $25 an ounces is an updated…
Jamie Porter: That’s an updated number for Kirazli, I don’t have the number out hand for Ağı Dağı.
Operator: The next question is from Dan Rollins from RBC Capital Markets. Please go ahead.
Dan Rollins: Guys just one follow one new question, I'll just back for second time. With La Yaqui I was just wondering if you could tell us what the inferred resource base is there currently. I know it wasn’t disclosed and broken out as part of the Mulato. So I was wondering if could maybe give some idea how large that is relative to the current reserves. And then how much the infill drill program is that really to validate the existing reserves or is that to convert that infer into reserves?
Jamie Porter: Dan as far as I understand all of the La Yaqui is reserve, there are no resources there and some of this infill drilling is for metallurgy and pit flow for stability, few things.
Dan Rollins: And then maybe John I was wondering if you could just touch base given the EIA has been reinstated Ağı Dağı given the potential for ruling upcoming on Kirazli. Assuming the EIAs were reinstated either with the CIA or without for Kirazli. What timeline did you envision right now based on your contact in Turkey to receive the required forestry and or change of the land use permits to begin construction of Kirazli?
John McCluskey: The feedback that I am receiving in the meetings that I have had this year is there just good momentum gathering behind the industry right now. So it would be my expectation that we would effectively follow up with receipt of say the Kirazli EIA being brought back to good spend. We would follow up with those applications that we're going through a bit of an election cycle again, there'll be elections in Turkey in early June. And I don’t think it would serve us very far if we were to try to push those applications too hard during that election period assuming that we had our EIA reinstated. But given a reasonable amount of time for things to settle down and people to will find our desk again we would -- I'd anticipate having those applications in early summer an educated guess at this point but we should have them in the fall, that’s what I would anticipate.
Dan Rollins: And then just with EIA for Ağı Dağı being reinstated. Does this change your ability and to aggressively going to start drilling of Çamyurt again or you're going to sort of wait to see if everything comes together with Kirazli first?
John McCluskey: No I think we are going to wait, I think we have a very good start on things where Çamyurt is concerned, there is no real necessity to push that any harder. I think in fact starting off with what we have is probably the best way to go and then expanded as the results are warranted.
Operator: Thank you. The next question is from Kerry Smith from Haywood Securities. Please go ahead.
Kerry Smith: Manley just a follow up on Cerro Pelon, you said in the MD&A that La Yaqui production would be kind of Q4 of '16 and with Cerro Pelon I think you are kind of talking six months after I am just wondering how much longer after you start up La Yaqui that you would start up Pelon?
Manley Guarducci: It’s above a year Kerry and that depends on -- that will depend on the additional drilling we're doing. Because there is a significant pre-strip there, so that’s what's driving the Pelon in.
Kerry Smith: So sort of 12 months pre-stripping, is that kind of what it is?
Manley Guarducci: Yes, that’s what we have now and additional drilling we’ll detail out.
Kerry Smith: And then just one final question. Jamie, have you seen any release yet in Mexico on fuel prices, are they still effectively what they had been couple of years ago?
Jamie Porter: Kerry, we have budgeted for an increase according to the fixed rate scheduled that had in place. We budget for an increase of about 8% for this year. In January they decided to effectively freeze the prices. So, we’re benefiting to some extent some lower diesel prices than what we’d expected.
Operator: Thank you. This will conclude today’s conference call. If you have any further questions that have not been answered because of time limitations, please feel free to contact Mr. Scott Parsons at (416) 368-9932 x 439 or at 1-866-766-8801. Please disconnect your lines at this time. Thank you for your participation.